: The Bank of New York Mellon Corporation (NYSE:BK) Q1 2008 Earnings Call  April 17, 2008 8:00 am ET 
Executives: Steve Lackey – IR Bob Kelly – CEO Bruce Van Saun – CFO Brian Rogan – CEO The Bank of New York Mellon Issuer and Treasury Services Ron O’Hanley – President, CEO BNY Mellon Asset Management Gerald Hassell – President Rich Brueckner – CEO Pershing Todd Gibbons – Chief Risk Officer Jim Palermo – Co-Chief Executive Officer BNY Mellon Asset Servicing
Analysts: Mike Mayo – Deutsche Bank Ken Usdin – Bank of America Securities Brian Bedell – Merrill Lynch Tom McCrohan – Janney Montgomery Scott Gerard Cassidy – RBC Capital Markets 
Operator:  Good morning ladies and gentlemen and welcome to the first quarter 2008 earnings conference call hosted by The Bank of New York Mellon Corporation. (Operator instructions). I will now turn the call over to Mr. Steve Lackey, Mr. Lackey you may begin.
Steve Lackey: Thank you Melissa and good morning everyone. Thanks for joining us to review the first quarter financial results for The Bank of New York Mellon Corporation. Before we begin let me remind you that our remarks may include statement about future expectations, plans and prospects which are forward looking statements. The actual results may differ materially from those indicated or implied by the forward looking statements as a result of various important factors including those identified in our 2007 10K and other documents filed with the SEC that are available on our website bnymellon.com.  Forward looking statements in this call speak only as of today, April 17, 2008. We will not update forward looking statements to reflect facts, assumptions, circumstances or events which have changed after they were made. This morning’s press release focuses on the results of The Bank of New York Mellon. We also have a supplemental document, the quarterly earnings summary available on our home page which provides a five quarter pro forma combined view of the total company in our six business sectors. Unless otherwise noted, all comparisons to the prior year results reflect this pro forma combined view.  This morning’s call will include prepared comments from Bob Kelly, Chief Executive Officer and Bruce Van Saun, Chief Financial Officer. In addition there are several members of our Executive Management team to address your questions about the performance of our businesses during the quarter. Now like to turn the call over to Bob Kelly. Bob.
Bob Kelly:  Thanks Steve and good morning everyone and thank you very much for joining us this morning. Clearly we’re in a pretty challenging economy right now and most of the financial markets are in distress and given that backdrop our businesses are performing well in a tough environment. Year over year we generated revenue growth of 14%, 750 basis points of operating leverage and another quarter of double digit earnings growth. We continue to meet our commitments we have made to our clients, shareholders and 40,000 employees. When you think about EPS, excluding our merger and integration charges, EPS was $0.72, an increase of 16% year over year.  And excluding the impact of merger and integration charges as well as intangible amortization which is a non-cash expense of course, EPS was $0.78, an increase of 20% over the first quarter of 2007. These results also include the impact of approximately $0.04 of net charges detailed in our earnings release. Our securities services business led the way with continued extraordinarily strong performance. Fee revenue benefited from significant growth in asset servicing, foreign exchange and clearing services. We enjoyed single digit growth in corporate trust fees despite a tough fixed income environment due to our diversification of our global franchise.  In wealth management fees were up 9% with good new business volumes and organic growth. Treasury service fee revenue increased 10% on a higher global payment and cash management volumes. In asset management we continued to grow money market funds with net flows of $23 billion during the quarter. Weak equity market conditions impacted our performance fees which were down sequentially and year over year as well as returns on seed capital investments. We continue to grow rapidly outside the US, now one-third of our revenue is international compared to 28% this time last year. Credit quality deteriorated marginally but overall remains very strong. Our expenses remain very well controlled and we are running ahead of our synergy targets.  We continue to enjoy very strong liquidity and excellent client deposit growth. Our tier one capital ratio remains well above our target but our TCE ratio fell below target this quarter reflecting our deposit driven larger balance sheet of $205 billion and the impact of spread widening on our investment securities portfolio. In my opinion, the lower tangible common equity ratio is the only real negative this quarter. However, we have the ability and the intent to hold these investments to maturity and we don’t expect any material losses in these securities. In our release we provided you with very transparent and hopefully very useful disclosures around this. Now earlier I alluded to the commitments we’ve made to our shareholders, one was to exit those businesses that don’t support our growth in asset management and security servicing so we can laser focus our capital into those that do.  I’d like to report first progress on that front during the quarter. We entered into an agreement to sell First Business Bank in California, we sold our B-trade and G-trade businesses to BNY ConvergEx, completing the repositioning of our execution businesses. We sold our fixed income sales and trading operation, further reducing our exposure to the credit markets and on the investment side we also closed our asset management acquisition in Brazil, making us now the number two non-bank owned provider in the country.  You should assume that we will continue to sharpen our focus in the coming quarters. One of the fundamental commitments we’ve made to our clients is industry leading client service around the world in all of our businesses. I’m delighted to advise that there’s further evidence we’re succeeding on that front and most notably in asset servicing.  Last quarter we told you about our number one performance in the global custodian survey. This quarter the results of the R&M global survey were released and we were again ranked number one amongst the world’s largest global custodians. So we’re consistently achieving our goal of outperforming our peers. Our success on the quality front is also paying off. In asset servicing during the quarter we won approximately $350 billion in new assets. This represents 60% success rates on the deals we bid on. In asset servicing our pipeline remains strong, up over the prior quarter and this time last year and we again exceeded client retention goals with a rate now well in excess of 99%. Another area with new business momentum is clearing. At Pershing we’ve seen a big pickup in new deals.  During the first quarter, Pershing’s pipeline of deals waiting to be converted was actually doubled year over year and we’re seeing the benefit of those increased revenues as our clients begin to convert onto our systems. In summary then we can’t control the market environment we’re in but we’re generating strong revenue growth, good expense control, good operating leverage, we’ve maintained a strong capital base and excellent liquidity, we’ve made good progress in raising the bar on service, growing our client base and keeping the integration on track and ahead of plan. So at this point I’d like to ask Bruce to provide you with more detail on the numbers and then we’re going to open it up for you Q&A. Bruce.
Bruce Van Saun:  Thanks Bob. I will walk you through the highlights of the quarter, update you on our merger integration milestones and offer a few thoughts about our outlook for the second quarter. As our earnings show, our business model continues to deliver excellent results through a challenging environment. Strength in our volume and volatility sensitive businesses such as asset servicing and clearing more than offset below trend performance in our asset management business, again demonstrating the diversification and the balance of our business model. We also did an effective job in containing expense growth, resulting in significant positive operating leverage year over year and sequentially.  Consequently our pretax margins versus a year ago improved from 33% to 36%. Our capital ratios came in lower than expected as a result of spread widening in our securities portfolio as well as the size of our balance sheet. And our credit quality overall remains solid. In short, a good start to the year. So let’s get into the numbers. We reported a $0.72 EPS from continuing operations. Included in this result were several balance sheet items that had a negative impact of $0.04 per share. More on that later. Excluding these items, our EPS result was $0.76. Our strong performance was led by continued good top line growth as operating revenues were up 14% year over year. Fees were up 9% and net interest revenue was up 39%.  We demonstrated disciplined expense management as expenses were up only 6.5% year over year, resulting in excellent operating leverage of approximately 750 basis points. Revenues generated outside the US now comprise a full third of our total revenues. That’s up from 28% in the first quarter of 2007. Turning to page 5 of the earnings summary which details fee growth, securities servicing fees were up 20% year over year given strong performance in volume driven activities and were down slightly sequentially reflecting seasonality in our DR business and in performance fees.  Asset servicing had a stellar quarter with fees up 40% primarily due to a huge increase in securities lending revenue as well as increased client activity related to market volatility, continued strong net new business and the impact of the buyout of the joint venture with ABN Amro which we completed late in the fourth quarter. Our assets under custody and administration increased 9% year over year to $23.1 trillion.  This business continues to over earn relative to the trend line performance given the current turbulent market environment. Favorable short term credit spreads and the Fed rate cuts have continues to benefit our sec lending activity. Issuer services fees grew modestly year over year. Corporate trust fee revenues were up slightly reflecting strength in the global business, largely offset by weakness in CDOs and structured products. DRs were flat year over year as the slowdown in new issues offset active trading levels. Remember that the first quarter is seasonally the weakest of the year, reflecting a lower level of corporate actions like dividend payments.  Clearing and execution services fees decreased by 3%, however this includes the impact of the sale of the B and G-trade execution businesses which were sold to BNY ConvergEx. Adjusting for this transaction, clearing and execution fee revenue increased 12% over the prior year, principally due to increased activity resulting from market volatility along with continued growth in money market and mutual fund positions by our clients reflecting success in our asset gathering activities. The B and G-trade sale was done at book value with an earn out based on 2008 performance which is payable in the first half of 2009. As such, the transaction is slightly dilutive in 08, about $0.03 until we receive the earn out. These businesses have historically contributed $50-$60 million in revenue and $10-$15 million in pretax income on a quarterly basis.  Asset and wealth management fees increased by 5% primarily reflecting strong money market flows and continued growth in business outside the US, partially offset by the previously disclosed loss of business at one of the investment boutiques as well as lower equity market values. Our AUM were $1.1 trillion representing an 8% increase from the first quarter of last year. Net inflows totaled $23 billion. This is comprised of $29 billion in net money market inflows, offset by $6 billion of net long term flows. The outflows reflect a general market shift from equities to money markets. Performance fees were $20 million, this is down $29 million year over year and $42 million sequentially. The year over year decline represents a lower level of performance fees generated from alternative and other quantitative products.  The sequential decline represents a typical seasonal falloff. In addition, investment income declined $38 million compared to first quarter 07 and $29 million sequentially, principally reflecting losses associated with seed capital investments and lower levels of private equity gains. The weak equity market conditions and difficult credit markets have negatively impacted both performance fees and investment income which should eventually rebound as markets recover. FX and other trading generated 42% growth year over year. We benefited from high levels of currency volatility as well as higher client volumes and business wins.  A partial offset to these positives was the impact of FAS 157 on our derivatives business given deterioration in counter party credit ratings. Fees decreased sequentially primarily reflecting a lower valuation of our credit derivatives portfolio and the aforementioned impact of FAS 157. Turning to net interest revenue detailed on page 7 of the earnings summary, revenue increased 39% year over year and 2% sequentially. This strong performance compared to the first quarter of 2007 reflects both higher volumes and wider spreads. Interest earning assets on our balance sheet increased 36% year over year and 5% sequentially. This growth is driven by client deposits.  When markets are active we take on more frictional cash deposits and we also are viewed favorably by clients in these treacherous markets given our strong credit rating. Our yield came in at 2.10%, up 2 basis points from a year ago quarter and down 6 basis points from Q4. The sequential decline reflects a lower level of interest free deposits as well as the impact of a lower rate environment on these deposits. We expect further modest traction on the yield as asset re-pricing catches up with liability in the next few months. On the expense front, total non-interest expense grew 6% on an operating basis, excluding M&I costs and the amortization of intangibles. Sequentially, total expenses actually declined by $123 million or 5%. We are pulling through synergies and exhibiting good overall expense discipline.  On page 9 of the earnings summary we’ve displayed our investment securities portfolios by asset categories and ratings. We’ve also highlighted both the unrealized losses on these portfolios as well as the other than temporary impairment write downs during the quarter. We believe that this degree of granularity provides clean transparent insight into the status of our portfolio. We have always focused on very safe short duration mortgage backed and asset backed securities largely all triple A. Our core portfolio remains 95% triple A, 99% triple A and double A. The current marks on these assets reflect highly illiquid market conditions with few buyers and many forced liquidations. I want to emphasize that we have the ability and the intent to hold these securities until the prices recover or until maturity.  We routinely test our investment securities for other than temporary impairment. During the quarter we did record $74 million of OTTI. This breaks out as follows: first, $24 million related to CDOs, amortized costs less write downs is now reflected at 40% of par. Second, $22 million related to SIV assets that were previously purchased from asset management portfolios which are now at 77% of par. And third, $28 million related to securities backed by home equity lines of credit in the Trefco portfolio based on both a deterioration of specific securities as well as weakening credit support due to downgrades of certain underlying bond insurers. It’s hard to predict when the fixed income markets will fully stabilize and recover, but in our view we currently don’t anticipate meaningful credit losses from our investment portfolios.  We extended our capital support agreements on a sec lending comingled fund to cover Thornburg Mortgage Capital Resources paper, increasing our total exposure under these agreements to $85 million from $55 million. We booked an estimated loss of $12 million on these support agreements during the quarter. We will continue to closely monitor asset quality in this and in our other funds. The credit quality of our loan portfolio remains solid. The provision for credit losses was $16 million compared to a credit of $12 million a year ago and a provision of $20 million in the fourth quarter. Charge offs were less than provision at $13 million. Non-performing assets increased by $24 million to $210 million.  The effective tax rate excluding M&I expense was 33.3% compared with 32.3% in the first quarter of 07 and essentially flat with the fourth quarter. With our larger balance sheet combined with a sizable increase in our mark on the securities portfolio, we saw our capital ratios dip in the quarter. That said, with a tier one ratio of 8.8% we are still well above our target of 8% and very comfortable with our capital position. But since the adjusted TCE ratio is at 4.14%, which is below our target of 5%, we do not plan further purchases of our stock in the near term. We will however remain opportunistic on acquisitions. Remember that we generated about 25 basis points of TCE per quarter, so we should get back to our target reasonably short order.  We clearly have ample liquidity as we built liquid assets during the quarter which is prudent given the market environment. Turning to the merger for a moment on page 11 of our earnings summary, there’s an update on our progress against our integration milestones. We’re continuing to meet our interim revenue synergy targets towards the run rate goal of $250-$400 million in revenue by 2011 and we’ll provide a progress report on investor day. On the expense side we’re currently exceeding our cumulative expense synergies target. The aforementioned $118 million in expense synergies annualizes to $472 million, two thirds of the way to our $700 million target.  Stay tuned, we’ll also update on investor day. Finally, you’ll note the consolidation of banks is on track for completion by early in the third quarter. I’m going to conclude my remarks by offering a few observations about the second quarter. There remains significant uncertainty around the market drivers of our performance which include price levels, volumes, volatility and credit spreads. Though we remain in the turbulent environment of the last three quarters we would expect to see asset servicing and clearing continue to outperform expectations. If we see a gradual recovery and rebound in equity markets, we would expect to see a bounce back in asset management. We generally see good depository receipt performance seasonally in Q2 and we expect to see that again this year.  On the other hand as I mentioned earlier, we expect to see the net interest margin come in modestly. In addition, we had our annual companywide merit increase of approximately 3% on April 1st. We are managing expense growth especially carefully given the revenue uncertainty and we are continuing to focus on delivering our synergy commitments. And we’ll be focused on maintaining a very strong balance sheet in terms of both liquidity and capital. You can be sure that regardless of the environment, we remain focused on executing our strategy and outperforming our peers. And with that, I’ll turn it back to Bob.
Bob Kelly:  Thanks very much Bruce, I appreciate it and you know I think we’ve given you a pretty good overview of the quarter and why don’t we open it up for questions at this point.
Operator:  (Operator instructions). Our first question comes from Mike Mayo with Deutsche Bank, please go ahead.
Mike Mayo – Deutsche Bank:  Good morning. Just in terms of the DR business, it seemed like a little bit more of a decline than at least we were expecting. You know did you see any extra decline there and do you think it’ll bounce back all the way in the second quarter?
Bob Kelly:  Yeah we’re going to, Brian can answer that.
Brian Rogan:  It was actually slightly up from the first quarter of 07 so it’s exactly what we expected.
Bob Kelly:  And it is more seasonal isn’t it, first quarter tends to be pretty weak.
Brian Rogan:  Totally. But the last three years it’s almost been a 2% variance as [beck] the quarters so we do expect that as Bruce mentioned the banks to come back in the second quarter.
Bob Kelly:  Yeah and we feel pretty good about that business, it should have another good year Mike.
Mike Mayo – Deutsche Bank:  Okay and then the asset management business, I mean that’s simply a function of the market, anything else going on there, ins and outs?
Ron O’Hanley:  Mike, this is Ron O’Hanley, the most of it far and away is the market. We saw very strong flows in short duration money markets as you’d expect, continued strong growth outside the US. Offsetting that are some long term fund outflows in the US mutual fund market and then we’re kind of suffering the full year impact if you will, the annualized impact of the team that we lost last year at the Boston Company. Although the new asset loss there has actually stabilized and the performance there is actually quite strong, so we expect that to stabilize but you’re getting the full year impact of that. Those would be the major ins and outs right there.
Mike Mayo – Deutsche Bank:  And as it relates, Bruce, the margin, you expect that to come in some, so is this the end of the benefit of the Fed easing?
Bruce Van Saun: Yeah I think when you get to the low rate levels that we have now, you start to get some compression on your interest bearing deposits. So I think you know the benefit has largely worked its way through. Having said that we’ve typically tried to be relatively neutral positioned and we may come in a bit but not overly dramatic.
Mike Mayo – Deutsche Bank:  And then lastly, in the merger savings are ahead, why not increase the overall target?
Bruce Van Saun: We’ve said that we’ll post you on that at the investor day, so we want to keep some good stuff for then Mike.
Mike Mayo – Deutsche Bank:  Okay, thank you.
Operator:  Thank you our next question comes from Ken Usdin with Bank of America Securities, please go ahead.
Ken Usdin – Bank of America Securities: Thanks, good morning. Two questions for you, one, you’ve mentioned again the diversification of the business model. Talking to a lot of positives, a lot of negatives and I know obviously the business will continue to grow on a year over year basis but I’m just, I wanted to understand how the positives and negatives balance out here as far as a go forward perspective. Meaning, are we back to an environment where you kind of just hope to keep the growth flat from here or ex expense synergies which we know help going forward, how do you just look at the balance of just core business growth in this environment?
Bob Kelly:  Well you know what I say Ken is it’s interesting to note how the security servicing business is different than the asset management business in that they’re not totally correlated which we actually find useful. We continue to grow quickly around the world, this is a long term cycle that we are seeing here and it’s not part of the economic cycle, it’s a secular trend we’re seeing. You know our business model is that we should continue to pick up business in Europe and Asia as we continue to expand.  And in fact, we announced last week, you know we are growing so quickly in Asia that until last week we did not have a Asia Pacific division and we’ve had so much growth there we’ve decided that we’ve got to invest a little bit more over there to have more coordinated approach toward Asia. We have just announced one of our most senior executives is going over to Hong Kong and we’re going to create a new head office for the Asia region there. So we are building for the long term.  There’s no question that some of our businesses are you know under a bit of stress at this point, not surprising given this environment but we continue to see pretty good revenue growth and I would hope that we would, you’ll see that in coming quarters as well. Bruce, anything you’d add to that?
Bruce Van Saun:  I think Bob, you know Ken don’t lose sight of the fact that if you say there’s some things on both sides of the ledger for the quarter, we still had 16% EPS growth and on a cash basis it was 20% year over year, so I think notwithstanding the environment, we’re still performing quite well.
Ken Usdin – Bank of America Securities: Yeah and I’m not taking that away from a year over year I’m talking about prospectively off of the base that you’ve set now to grow from. You know if everything offsets each other you know some good some bad then the business could just kind run in place on a core basis.
Bob Kelly:  It’s a scenario, Ken but it’s not what we’re expecting when we sit around the table and talk about various scenarios about how the rest of this year will play out.
Ken Usdin – Bank of America Securities: Okay, that’s helpful. The second question was just on revenue synergies, any update on how those are coming in with regards to the deal?
Gerald Hassell:  Ken this is Gerald Hassell, the revenue synergies are tracking well against that $250-$400 million level that we described to you last year. We’ll give you a further update at the investor day conference but we feel very positive about those revenue synergies and think we’ll achieve them.
Ken Usdin – Bank of America Securities: Well and just can you give us anecdotes of are there tangible revenue synergies in this quarter?
Gerald Hassell:  They’re very similar to the ones we’ve seen in the past and that is greater use and greater trading capabilities in our sec lending and foreign exchange areas. Money market flows out of areas like Pershing and our corporate trust areas into Dreyfus, cross selling of asset management into our asset servicing clients. Those are the three main areas that continue to perform quite well.
Bruce Van Saun:  And we’ll give specific examples at investor day Ken.
Ken Usdin – Bank of America Securities: Okay, thanks very much.
Bob Kelly:  And Ken I would say we’re running a little ahead of where we were hoping for, certainly by June of last year, so we’ve been pleased with where we are.
Ken Usdin – Bank of America Securities: Okay, thanks Bob.
Operator:  Thank you our next question comes from Brian Bedell with Merrill Lynch, please go ahead.
Brian Bedell – Merrill Lynch: Good morning folks. Hey where we were just on the merger, just one more question, are you finding more merger synergies than when you got more detailed on the $250-$400 plan, so in addition to that, are you discovering more opportunity throughout the organization?
Bruce Van Saun:  I think we’re, we had it scoped out very well and we had a very detailed plan and so we’ve executed along that plan. You do find a few forks in the road and a few opportunities and where we see that we’re executing on that.
Brian Bedell – Merrill Lynch: Okay, great and then on the clearing business, you know I guess you’re winning business from potentially the Bear Stearns book, how should we, how significant should we be thinking about that in future quarters? You know how long does it take to come into the revenue stream and is it a very large improvement in the revenue stream?
Bob Kelly:  Rich, you want to take that?
Rich Brueckner:  Sure, I’ll come on, this is Rich Brueckner, we’ve doubled the pipeline as Bob mentioned earlier, so that’s I think significant. We have probably another double that’s not signed and we probably won’t get all of that and it’ll take about six to nine months to convert most of that and that’s the normal conversion period. Although I must say we’ve accelerated the pace of that in the beginning, we converted a couple of accounts already.
Brian Bedell – Merrill Lynch: Okay, great and then if you could just talk about the SIV exposure, I know that in the 10K you said it was down in the money market funds I think to $1.7 billion, if you could give us an update on that and when you expect that to roll off. And I think you also said $8.9 billion in the securities lending collateral pools, do you have an idea of when that might run down and of course you know how comfortable you feel about the SIVs that are still in the money products.
Todd Gibbons:  Sure Brian, this is Todd Gibbons. The SIV exposure continues to pay down pretty rapidly as expected. I think most of the exposure, the significant majority of the exposure is to names that have bank sponsors and they’ve indicated support. In the securities funds it’s now down to about 7.3 from that $8.9 billion that you talked about. And the non-bank maturities are paying off, they’re very short in nature and they’re paying down quickly.
Brian Bedell – Merrill Lynch: Okay, the $1.7 billion is in the money funds is that still at $1.7 or is that down?
Todd Gibbons:  That’s down somewhat too.
Brian Bedell – Merrill Lynch: Okay and is there, I know you said July August was the timeframe when you thought the SIVs in the money market funds would probably be pretty close to zero, is there a timeframe on the sec lending pool that you could give us on that as well?
Todd Gibbons:  Well as I say, most of that is now bank sponsored, so it is coming off over the course of the next year but it’s really like having an exposure to a bank at this point.
Brian Bedell – Merrill Lynch: Okay, great, thanks very much.
Operator:  Thank you our next question comes from Tom McCrohan with Janney Montgomery Scott, please go ahead.
Tom McCrohan – Janney Montgomery Scott: Hi everyone, another question on growth similar to Ken’s question, I know this quarter you had 9% pro forma growth in fee income year over year and do you have any visibility on the kind of fee revenue growth you believe you can generate this year in the context of you know flat equity market, possible reversion to trend with you know ancillary fee income categories like sec lending and foreign exchange, I think that’d be really helpful as these are unusual times and unusual results, it’s kind of hard to get a base line of what organic growth could be this year in that context.
Bruce Van Saun:  Yeah I think Tom given the uncertainty out there, that’s a little hard one to call. You know what I think we’re trying to describe the framework is that you know asset servicing has really been off the charts and the comps will get tougher for asset servicing as we go through the year.  But asset management because of the weak equity markets and the impact on performance fees and seed is quite a bit below the trend and so how that plays out and the timing of how that plays out will have a lot to do on that ultimate fee growth number. But I would say that you know on the things that we can control in terms of providing excellent client service, the business pipelines and bringing in that new business, we feel really good about how we’re positioned for the rest of the year.
Tom McCrohan – Janney Montgomery Scott: Okay, thanks Bruce and a follow up on the government treasury clearance area, you guys are one of only two banks that provide clearance of government treasury securities, I was just wondering if you could elaborate on how the current market environment was possibly impacting that part of the business and if the recent Fed actions like that new primary dealer credit facility, if those types of actions are a net positive or a net negative for that business.
Gerald Hassell:  Tom, it’s Gerald, you know as you know we’re one of the two main clearers with the Fed, all the new Fed actions that have been put in place, they’re using our pipes to implement those actions. So we’re seeing some activity as a result of that. You know and our global collateral management, what we call collateral management capabilities, we’re still seeing growth in the tri-party repo market because that’s the safe haven for dealer to finance their inventories and for investors to feel comfortable. So we’re still seeing good growth and good activity out of our broker dealer services area.
Tom McCrohan – Janney Montgomery Scott: Thanks Gerald and those fees are in asset servicing, correct?
Gerald Hassell:  Yes.
Tom McCrohan – Janney Montgomery Scott: Great and one last question for you all, you know one of the merger milestones targeted to be completed this quarter I guess was a complete review of all the business segments at the combined bank, I was just wondering if you could give us any type of preview on the outcome of all those reviews. That’s all I had, thanks.
Bruce Van Saun:  You know I think the list of things that Bob talked about in his remarks is an indication that this process is underway and we’re acting on some of these things, so we’ve sold the First Business Bank in California, we completed the sale on ConvergEx, so there are activities around the periphery that we’re currently dealing with and so I think when we get to investor day, we’ll give a good view as to how we look at the businesses and what their full potential is and how we view those in terms of the total franchise. Bob.
Bob Kelly:  Yeah, we’ll give you a real good sense as to how we, where we want to invest, why we want to invest and what are the criteria we look at in terms of everything from revenue growth to globalization to expense and revenue synergies, capital usage, you know we’re in interesting times and we have businesses that don’t fit our model and we’ve been dealing with them and we will continue to. At the same token, we’re going to redeploy some capital into those businesses where we very clearly have long term competitive advantages and therefore superior shareholder returns. So we’ll keep working on it and even though the environment is tough, we can get interesting things done at the margin.
Tom McCrohan – Janney Montgomery Scott: Great, thanks for taking the questions.
Operator:  Thank you our next question comes from Gerard Cassidy with RBC Capital Markets, please go ahead.
Gerard Cassidy – RBC Capital Markets:  Good morning Bob. On the incentive comp for the asset management business, was the decline mostly due to the market conditions or did you see some of the decline because of people that left Boston Company last year?
Bob Kelly:  Gerard, the decline, it’s formulaic. We pay incentives either, most of our incentives are paid as a percentage of pretax. There’s also some incentives paid as a percentage of performance fees and since both declined you saw a formulaic decline there.
Gerard Cassidy – RBC Capital Markets:  Thank you. And Bob you may have mentioned this and I had to jump off the call for a minute but in terms of reviewing the business lines, obviously you announced the sale of the bank on the west coast very recently, are you finished going through the process of determining which lines you really want to keep and which ones may be subject to sale?
Bob Kelly:  Yeah, the way we kind of think about it Gerard and it’s not totally black and white but it’s pretty clear the way I kind of think about it and it’s really about capital allocation and I think you know rough categories as being, here’s a business we’re not only do we not want to constrain them in growing capital but we would actually consider acquisitions, so acquisition capital as well. There would be a category for businesses where you don’t want to constrain capital at all, but on the other hand you won’t want to do acquisitions in that space and it could be that could change over time.  Then there’d be another category of businesses where you just want to maintain capital and not grow it. And finally there would be a category where you would want to harvest capital, including through selling. And we have finished all the reviews, it’s been an enormous amount of work. You’re seeing some of the output of that in terms of things that we’ve sold and we’ve purchased over the last few quarters. We are, as we complete that, I think we’ve had a wonderful education process for all the executive team here as well as for our Board of Directors, we are in the process of summarizing it quite frankly and putting together a nice presentation for our Board.  We’re doing an offsite at the beginning of June which is something we had scheduled about six months ago as part of the inevitable outcome of this and we also want to give the highlights of everything that we’re going to show the market a couple of weeks later at our investor day which is June 17th. So I think the process has worked very nicely and it’s accelerated our ability to understand our businesses, where we make money and where we can get more revenue and expense synergies frankly.
Gerard Cassidy – RBC Capital Markets:  Would it be fair when we see these results at the investor day that the lines of businesses that are capital intense and don’t meet your return hurdles that over time there would be less exposure to those business lines?
Bob Kelly:  Yeah, that would be roughly true. Clearly we’re not going to advertize which ones are in the last category, that wouldn’t be fair to our businesses or our people. But it’ll be pretty clear to you as to what our criteria is and which are the ones that are clearly the ones that we’re going to be growing over time. Including what geography and beyond that we simply can’t advertize externally, in fact we don’t advertize it outside of the executive committee which ones we’re taking a much harder look at over time.
Gerard Cassidy – RBC Capital Markets:  Thank you.
Operator:  Thank you our next question comes from Brian Bedell with Merrill Lynch, please go ahead.
Brian Bedell – Merrill Lynch: Hi, just a quick follow up, in the, this I guess would be for Tim Keaney and maybe Bruce, as we talk about the net interest margin, outlook going forward, what’s your ability to lower front office deposit rates and we’ve seem to have had some competitors coming down pretty sharply and how do you feel about custody deposit growth in Europe?
Jim Palermo:  Brian its Jim. Our growth in fund deposits I think as you’ve seen has been quite significant year over year, a big piece of that obviously is with the significant growth that we’ve enjoyed and realized with the ABN Amro Mellon joint venture. The competition around rates I’d say is reasonably competitive at this point. We would expect that to continue as we look out over the balance of this year. Bruce I don’t know if you have anything further to add on that.
Bruce Van Saun:  No I think you know we’re seeing a good environment and the business wins effecting the levels and the rates are pretty stable.
Brian Bedell – Merrill Lynch: Okay so like you said that won’t really have a big impact on the net interest margin going forward, it’s really more of your asset liability fee management that’s driving them.
Bruce Van Saun:  That’s correct.
Brian Bedell – Merrill Lynch: Okay, great, thank you.
Steve Lackey:  Melissa we have time for one more question.
Operator:  Thank you our final question comes from Ken Usdin with Bank of America Securities, please go ahead.
Ken Usdin – Bank of America Securities: Thanks, thanks for the follow up opportunity. I think maybe a question for Todd, Todd just on the credit book I was wondering if you could just give us an update, there was, the metrics show that the book is holding up still very well with only a slight increase in non-performing but I was just wondering if you could touch on any updates to some of the areas that you highlighted in the K as far as any concerns you know in specific portfolios about credit deterioration and also you know can you give us an update on exposure levels and you know how aggressive you’ve been or plan to be as far as taking down you know risk incrementally.
Todd Gibbons:  Sure Ken. We have continued to take down exposures, especially on the weaker credits, we’ve let them mature off, we’re not longer really in that type of business. As you’ll see in our Q where we give ore a breakdown, our financial exposures have come down somewhat in the first quarter. That’s pretty easy for us to moderate. There’s no question that we are seeing some migration, that this is a tough environment. You know it’s difficult to precisely estimate credit cots but we would expect them to trend up somewhat from the first quarter.
Ken Usdin – Bank of America Securities: And is that, when you say credit cost you mean charge offs or do you mean the amount of provision?
Todd Gibbons:  Provision.
Ken Usdin – Bank of America Securities: So for the year, provision expense might be a little bit higher than what you had initially anticipated?
Todd Gibbons:  I think that’s fair to say.
Ken Usdin – Bank of America Securities: But by major magnitude or just incremental?
Todd Gibbons:  I wish I could predict it exactly, I would say incremental at this point.
Ken Usdin – Bank of America Securities: Okay and my second just quick question is just Bruce on the TCE being below your target, do, how important is TCE specifically to either the rating agencies or other parties, does it become anymore of an incremental issue and have you vetted that with your respective constituencies?
Bruce Van Saun:  Yeah I think our primary capital measure is the tier one and that most closely mirrors our economic capital measures that we use, the framework internally. But TCE clearly is also an important measure for the rating agencies and we’ve talked to the rating agencies. In the past you may recall Ken that we’ve, when we’ve done acquisitions we’ve brought the TCE ratio down into this zip code and because of the strong capital generation that we have from our businesses, we’ve been able to restore it relatively quickly. So you know we’ve had those conversations and we have internally a very good comfort level and I think our external constituents also share that view.
Ken Usdin – Bank of America Securities: Okay, thanks for the follow up, I appreciate it.
Bob Kelly:  Thanks Ken. It is, it’s one of frankly the joys of this business, our mix of business, it tends to be fairly capital light, so we can generate the capital. I want to thank everyone for the great questions. We had the whole team here for you to get into any detail that you wanted to. Obviously looking forward to any follow up calls that we have later through Steve and his team and I appreciate your support and analysis and have a great day, thank you.
Operator:  Thank you. If there are any additional questions or comments you may contact Mr. Steve Lackey at 212-635-1578. Thank you ladies and gentlemen, this concludes today’s conference call, thank you for participating.